Operator: Good day and welcome to everyone to the Mondelēz International First Quarter 2014 Earnings Conference Call. Today's call is scheduled to last about one hour including remarks by Mondelēz's management and the question-and-answer session. (Operator Instructions). I would now like to turn the call over to Mr. Dexter Congbalay, Vice President Investor Relations for Mondelēz International. Please go ahead, sir.
Dexter Congbalay: Good afternoon and thanks for joining us. With me are Irene Rosenfeld, our Chairman and CEO and Dave Brearton, our CFO. Earlier today, we issued two news releases; one detailing our first quarter earnings and financial improved profitability and another on our intention to combine our coffee business with D.E Master Blenders. These releases and today's slides are available on our website, mondelezinternational.com. As you know, during this call, we'll make forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our 10-K and 10-Q filings for more details on our forward-looking statements. Some of today's prepared remarks include non-GAAP financial measures. You can find the GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation. With that, I'll now turn the call over to Irene.
Irene Rosenfeld: Thanks Dexter and good morning. We launched Mondelēz International in October 2012. We set out to create a global snacking powerhouse that will deliver top tier financial performance and be a great place to work. Since our launch we’ve made good progress in many areas. We have grown our market shares fueled by investments behind our power brands and innovation platforms. We strengthened our geographic footprint and route to market capabilities. We stepped up cost reductions in both our supply chain and in overheads to drive margin expansion and we strengthened our balance sheet while significantly boosting cash returns to shareholders through both share repurchase and higher dividends. But despite these many accomplishments we are not where we should be at this point in our journey. The recent global slowdown in our categories has tempered our near-term top-line growth as well as that of our peers’. This slowdown has made it imperative that we act more quickly and more aggressively to address the inefficiencies in our cost structure. So today we are taking too both steps, both to improve our near-term results and to increase confidence that we will deliver sustainable top tier financial performance over the long-term. First, we’re focusing our portfolio even further on snacks, by combining our coffee business with D.E Master Blenders 1753 to create the world’s leading pure play coffee company. Second, we’re setting up and accelerating our cost reduction efforts to deliver best in class costs in both our supply chain and in overheads. Together, these actions will enable us to become an even more focused and nimble global snacking powerhouse; to achieve world class margins faster, to simplify how we work around the world, to speed up and clarify decision making and to generate the fuel to invest more in our people, in our brands and in our executional capabilities. All of this will help us deliver superior returns to our shareholders. I’ll take the next few minutes to discuss these strategic initiatives in more detail. Let me start with the coffee transaction. We intend to combined our nearly $4 billion coffee business with D.E Master Blenders to create the world’s leading pure-play coffee company. This new company will have annual revenues of more than $7 billion and an EBITDA margin in the high-teens. It will bring together our portfolios of iconic brands, our complementary geographic footprints and our innovative technologies to transform two strong businesses into an even stronger one. The combined company will feature our market leading brands like Jacobs and Tassimo and Douwe Egberts and Senseo from D.E Master Blenders. The combined company can be called Jacobs Douwe Egberts will have an advantage position in the $81 billion global coffee category including leading market shares in more than two dozen countries and a sizable footprint in all key emerging markets. With greater focus and increased scale, the new company can operate more efficiently and invest more effectively in innovation, manufacturing and market development to capitalize on the significant growth opportunities in coffee. When we close this transaction, we’ll receive after-tax cash proceeds of approximately $5 billion and a 49% interest in the combined company. Our partner, Acorn Holdings is the current owner of D.E Master Blenders and will have a 51% interest in the combined company, as well as the majority of seats on the Board. Acorn is owned by an investor group led by [JAV] Holdings Company, an investment vehicle managed by three highly respected senior partners with whom we’re delighted to team. Bart Becht, the former CEO of Reckitt Benckiser and current Chairman of D.E Master Blenders. Peter Harf, a former senior executive at InBev, Reckitt and [Cody]. And Olivier Goudet, the former CFO of Mars. While Becht will be Chairman of the new combined company, Pierre Laubies, the current CEO of D.E Master Blenders is the perspective CEO of the new company. The other members of his leadership team will be joined from both coffee businesses using a best-of-both approach. The deal is expected to close in the course of 2015 subject to limited closing conditions. During the interim period, both companies will undertake complications with all works counsels as required. We are delighted with this transaction and the substantial value we expect it to create for our shareholders. By retaining a 49% stake, we will continue to benefit from the future growth of the coffee category and sharing the synergies and tremendous upside of this leading to pure-play coffee company. We expect to use the majority of the approximately $5 billion of cash proceeds to extend our share repurchase program subject to Board approval. The balance of the cash proceeds will be used for debt reduction and for general corporate purposes. Let me assure you that while deploying the cash proceeds, we remain committed to maintaining an investment grade credit rating with assets to Tier 2 commercial paper. In terms of our P&L, we expect the transaction to be accretive to adjusted EPS in the first full year after closing. In addition to unlocking and creating significant value for our coffee business, this transaction will also enhance the profile and prospects of our core snacking business. Once completed, approximately 85% of our net revenue will come from snacks, up from about 75% today. Going forward, this sharper focus will help optimize our capital allocation, including investments to drive growth of our global platforms and to expand routes to market. So, that's the first type of the news. Now let's turn to the second type. We're taking actions today to accelerate and enhance margin expansion. Specifically, we are fast tracking our previously announced supply chain reinvention program and significantly reducing overhead costs. As Daniel Myers explained last September, over the next three years, we expect to deliver $3 billion in gross productivity savings, $1.5 billion in net productivity and $1 billion in incremental cash. We’ve already made good progress against those goals. We’re on track to open our state-of-the-art biscuit facility in Mexico in the fourth quarter. We've initiated significant projects in India, China and Russia. We're expanding biscuit manufacturing in the Czech Republic and investing in new biscuit manufacturing technology in the U.S. In addition, we've made some tough decisions to close or sell 9 plants and streamline another 21. As a result, in 2013 alone, we've reduced headcount in our supply chain by 3,000 plus another 1,000 contractors. All of these actions will enable delivery of the benefits we previously outlined. We also laid out additional opportunities through 2020 to manufacture more of our Power Brands on advantage lines of the future and to streamline our production base. Today, we're taking steps to accelerate some of those projects. This will allow us to capture savings even sooner and result in additional margin upside through 2018. With this accelerated program, we now expect our net productivity to increase from the 2.3% we talked about in September to around 3% over the next few years. With respect to overhead, as we discussed the CAGNY in February, we're committed to creating a leaner, simpler and more nimble organization by significantly reducing operating costs. Achieving best in class overhead costs across our business is particularly important, given the near-term slowdown in the growth of our categories especially in emerging markets. In addition, the combination of our coffee business with D.E Master Blenders allows us to create an even simpler more focused global snacking company. To drive overhead savings, we're starting with the clean sheet of paper and employing a zero-base budgeting approach. With the help of Accenture, we used ZBB analytical tools to look objectively at our overhead costs and compare them to best in class external benchmarks. This has enabled us to question how, where and why we spend our money. While this certainly involves addressing headcount, we're also targeting non-headcount costs. The lowest hanging fruit is to look at our policies and practices across a dozen major cost areas to identify changes that will help us to quickly reduce costs in a sustainable way. As an example, our travel costs are significantly higher than peers’, that’s partly because we travel more, reflecting the coordination necessary during the Cadbury and LU integrations as well as the startup of our new company. But it’s also because we weren’t effectively leveraging our scale with suppliers. If you multiply that example to many other cost areas across our company it adds up pretty quickly to some big savings. To enable us to capture these savings in both our supply chain in overheads our board has approved a new $3.5 billion restructuring program through 2018 comprised of approximately $2.5 billion in cash costs and $1 billion in non-cash costs. We expect to incur the majority of the restructuring charges in 2015 and 2016. Capital expenditures in support of these programs are already included in our CapEx target of about 5% of revenues for the next few years. As a result of this program we expect to generate annualized savings of at least $1.5 billion by 2018 with savings about equally split between supply chain and overheads. With $1.5 billion of savings on $2.5 billion of cash costs it’s clear that these project have very strong returns well in excess of our cost of capital. The cost savings from this restructuring program will enable us to accelerate and increase our future margin expansion plans. Specifically we are raising bottom end of our 2016 adjusted OI margin range so that we are now targeting 15% to 16% up from 14% to 16%. This improvement comes largely from greater overhead savings. After 2016, along with continued improvement in overheads we expect the contribution from supply chain to build. This will enable us to drive further margin expansion beyond our revised 2016 target, while continuing to fund growth. Taking together the strategic initiatives we’ve announced today underscore our determination to become a leaner, more focused and more nimble global snacking powerhouse. Let me now turn the call over to Dave, to provide details on our first quarter results.
Dave Brearton: Thanks Irene. As you’ll see in the next few slides, we’re off to a solid start this year. We’re making meaningful progress towards our margin goals, while continuing to deliver growth and strong market shares. Specifically, our organic net revenue growth was 2.8% in line with the overall growth of our categories and within our 2% to 3% guidance range for the quarter. On the margin front, we delivered a big increase in adjusted operating income margin up a 140 basis points to 12.2%. And our adjusted EPS was $0.39 that’s up 17% on a constant currency basis and on the higher end the double-digit guidance we gave for the year. Looking more closely at our revenue growth, pricing was the key contributor as we began to implement price increases in all of our regions and across most of our categories to offset higher input costs. Despite, these pricing actions we were able to drive the modest increase into our mix. And while the shift of Easter was a headwind for the quarter the 40 basis points impact was lower than expected. Coffee remained a headwind, but the pass-through of lower green coffee costs tampering our growth by 60 basis points. Emerging markets were up nearly 7% reflecting challenging conditions in a number of key countries. Our developed markets were essentially flat growing 0.2%. Overall our Power Brands continue to drive our growth increasing 4.8% in particular Cadbury, Dairy Milk, Milka, Chips Ahoy, belVita, Tuc (inaudible) and Tang were among our best performers in the quarter. Now let’s take a closer look at our results by cash grades. For the second consecutive quarter category growth was slower than historical averages with growth of only 2.8%. This was due in part to the Easter shift but also reflects continued weak demand in emerging markets and lower coffee prices. With Easter occurring three weeks later than last year some consumer demand was pushed into the second quarter, however revenue was less effective as we started shippings distribute related products in March. This can best you see in chocolate for a 2.3% growth significantly outpaced the category growth rate of 1%. The ongoing global slowdown was the second factor that contributed to sluggish growth across the most of our categories. But good news is that our market share performance was solid with over 60% of our revenues gaining or holding share, despite the price increases mentioned earlier. A closer look at our categories shows that our biscuit performance remained strong. While 4.7% revenue growth in biscuits was below the category rate our overall share performance was strong especially in North America and Europe. The difference was solely due to our China business. Turning to chocolate. Our Cadbury, Dairy Milk and Milka Power Brands each grew high single digits fueling in our growth. In addition over 50% of revenues gained or held share. Our share performance in India in particular was strong, up over 2.5 in a category that continues to grow about 20%. Our results reflect recent capacity investments to support the tremendous from that market. Turning to Gum and Candy, our revenues fell 2.1% as an increase in gum was more than offset by a decline in candy. Our gum share performance continue to improve as we gained a held share in over half of our gum revenues. In beverages, our revenues increased 2.3% despite the headwinds from lower coffee pricing. Although the cost of green coffee has surged over the past two months from about a $1.20 to about $2 per pound, those prices are not yet reflected in the market. Input costs for the first half are still being covered [appraised] by prices. However, we recently announced price increases in Europe that will begin to take effect in late Q2. So, we expect higher pricings to be reflected in the back half of the year. As for powdered beverages, category growth continued to be robust, for Tang up in the low 20s. Let's now take a look at our regional results, where we delivered solid topline performance in 4 of our 5 regions. In Europe, while revenue fell 1%, coffee tampered growth by about 1.5 points. Vol/mix was up nearly a point, despite the impact of the Easter shift and some short term customer dispute as we took (inaudible). Over 70% of our revenues gained or held share. North America had another strong quarter, with revenue up 2.5%, fueled by 5% growth in biscuits. Share performance again was exceptional with over 85% of our revenue gaining or holding share. Gum in the U.S. was up over a point. In emerging markets, as expected we experienced some share dislocations, as consumers adjusting to a higher pricing. As a leader in our categories and many of these markets, we're typically one of the first to price in response the higher input costs. Input costs began to creep up at the end of last year especially in berry and coco and in many emerging markets, we prefer to see further magnified this impact. As a result, we began to price aggressively early this year. In some cases competitors have been slow to follow resulting in sheer dislocation in some key markets. We expect this to be temporary as competitors ultimately price to offset the higher input costs, which are common to the entire industry. Our EMEA region grew nearly 8% with good contributions from both vol mix and pricing. Russia increased high single-digits driven largely by vol mix; coffee, biscuits and gum drove the increase. Also in the region, the Gulf State, Turkey and Egypt all delivered strong growth. Not surprisingly, Ukraine declined double-digits. In Latin America, pricing especially in the high inflation markets of Venezuela and Argentina drove organic growth of 14.7%. But importantly, Brazil was up high single-digits. Powdered beverages and biscuits drove the bulk of the revenue increase, while chocolate growth was modest due to the Easter shift. Asia-Pacific was our long lighting performer, down 2.7% for the quarter. As expected, China was weak with organic revenue down mid-teens primarily due to biscuits. Easter’s were working to in China are not new. We expect that to be China be drag in Q1 and through the first half as we lag last year's inventory build in support from our AMC investment and the launch of Golden Oreo. While we continue to expect the China biscuit category to be soft for the remainder of the year likely growing in the low single-digits, our revenue trends in the second half should improve as we begin to lap last year’s slower growth. In contrast of biscuits, (inaudible) China continues to grow rapidly as expand distribution. Gum share is now over 7% just a year and half after launching in that market. We’re taking a number of steps to improved China’s overall performance. Earlier this week, we hired Steven Mars, our new Head of China. Steven joins us from Carlsberg Group where he was CEO of the company’s China business. In total he has 16 years of on the ground experience in China including principal P&G and Colgate. We are looking forward to Steven’s leadership as he and his team gets China back on the growth trajectory. India continues to deliver strong performance. With our new chocolate capacity in place, we have been able to regain the share we lost in the first half last year. Our beverages business which is now 5th of our sales there was up mid-teens. We continue to successfully expand our Tang business and increase support behind our top selling chocolate beverage Bournvita. Turning to margins; adjusted gross margin was essentially flat with 37.1% as gross profit grew 2.3% on a constant currency basis. Pricing fully offset commodity inflation in dollar terms despite the fact that we’ve not yet fully realized the impact of the pricing actions we implemented earlier this year. On a percentage basis of course, the denominator effect of this pricing pressure of the gross margin percept. Net productivity was strong and in line with our goal to deliver 2.3% of cost of goods sold this year. As a result, our gross margin percentage was essentially flat to prior year. In terms of adjusted OI margin, we jumped 140 basis points to 12.2%. Half of this gain was a direct result from our efforts to significantly reduce overheads. The other half came from AMC, which was about 9% of net revenue. This compared to last year’s quarterly high of 9.6% when we accelerated investment in China. To be clear, we didn’t cut our base brand support. We successfully lowered AMC cost through efficiencies gained by consolidating our media accounts especially in EMEA, reducing non-working media spending and continuing to shift towards more efficient and targeted digital outcomes. Consistent with our margin goals we made great progress this quarter towards achieving our adjusted OI margin targets in developed markets. Europe was up 130 basis points to 13.9% and North America was up 240 basis points to 13.8%. Moving to EPS; adjusted EPS grew 17.1% on a constant currency basis driven by double-digit growth in operating income. The [logo] line, the impact of having a more normal tax rate was a negative $0.06 impact, but that was partially offset from $0.04 of favorability delivered through debt restructuring and share repurchases. Before turning to guidance, I’d like to quickly update you on where we stand on cash flow and capital allocation. Our approach to capital allocation remains the same. We’ll continue to deploy capital to deliver the best expected returns whether it’s reinvested in the business, M&A, reducing debt or returning capital to shareholders. With regard to free cash flow, we remained on track to deliver a two year combined target of $3.7 billion. As you may know, we tend to be free cash flow negative in the first quarter as we rebuild inventories after seasonal lows at the end of the year. At the end of Q1 this year, while our inventories were unusually high due to the Easter shift, we were still able to improve our cash conversion cycle by 17 days versus Q1 last year. In the first quarter we returned more than $700 million to our shareholders in the form of share repurchases and dividends. For the full year, we still expect to return to $2 billion to $3 billion to our shareholders including $1 billion to $2 billion in stock buybacks. With respect to our debt, we were up about $2 billion versus year-end largely reflecting cash returned to shareholders and the working capital increase that I just described. In addition, we paid taxes associated with the $2.8 billion Starbucks award that we received in December. Turning to our outlook for the year, we expect to deliver organic net revenue growth that’s in line with overall category rates. However, as I described earlier, global category growth has slowed to around 3% for the last two quarters due largely to the weakness in emerging markets and lower coffee prices. We expect these trends will continue in Q2 likely resulting in top-line growth similar to what we saw in Q1. In our second half, we expect the pass-through of higher Green coffee cards will benefit revenue, but we may also experience some disruptions to our top-line as we implement our strategic initiatives. As a result, we expect revenue growth to improve modestly in the second half. For the year then, we expect organic revenue growth to be in line with all the category growth of about 3%. Importantly though, we remain confident in our profit outlook. Specifically we are confirming our guidance of double-digit adjusted OI growth on a constant currency basis, adjusted OI margin in the high 12% range and adjusted EPS of $1.73 to $1.78 on a constant currency basis. With that let me turn it back to Irene for some closing thoughts.
Irene Rosenfeld: Thanks Dave. So to sum up, the strategic in cost reductions and actions that we announced today, underscore are determination to become a linear, more focused and more nimble global snacking power house. As our first quarter results show, we are making meaningful progress toward our margin goals, while continuing to deliver solid growth and market shares. The actions we have outlined today will sharpen our focus on snacks, simplify our operations, enhanced and accelerate our ability to deliver world class margins, provides a fuel to invest in our core snacking business to drive top tier growth and position us to deliver superior returns to our shareholders. With that, I'd like to open it up for questions.
Operator: (Operator Instructions). Your first question comes from the line of Bryan Spillane with Bank of America Merrill Lynch.
Bryan Spillane - Bank of America Merrill Lynch: I have got a question about the coffee business, the coffee transaction. I guess the first is just simply Irene, can you talk about the strategic rational and maybe more specifically was it driven more by your view of some changes potentially occurring in the coffee industry or was it more specific to just how coffee sit in your portfolio?
Irene Rosenfeld: Actually Bryan coffee continues to be a very attractive category, it's growing -- category today within our portfolio is growing at good margin. In fact the margins are actually above our Mondelēz average and we have seen terrific growth as you know in on demand in particular. But we saw a unique opportunity to combine our business, a very strong business with the DEMB portfolio. And I always think the partnership is a win-win. We received the upfront cash proceeds that we've described of approximately $5 billion after-tax. We intend to use the majority of that and as I said for share buybacks subject to our Board approval. But the balance will be used and the balance will be used for debt reduction and general corporate purposes, while still maintaining our investment grade credit rating. We also thought at the same time received a 49% interest yet a very attractive company, it’s a leading pure-play coffee company, it has a set of iconic brands with as I mentioned leading positions in over a dozen markets, it provides greater global scale and it's highly complementary in terms of the geographic footprint. All businesses come with some very unique technologies in R&D and in on-demand D.E Master Blenders have strong technology with good coffee. We're going to combine the best-of-both from a management team standpoint. We feel very good about our partners as I mentioned, they’re highly respected business executive. And if gives us the ability to focus on snacking portfolio much more directly and ensure that we have the opportunity to optimally allocate our resources. So net-net, this is the opportunity to take what is a strong business and make it even stronger, while creating great value for the both partners I believe, as well as for our shareholders.
Bryan Spillane - Bank of America Merrill Lynch: Thank you. And if I could just follow-up, a question for you Dave, just in terms of just the value of the deal, I think back of the envelope, if you get back a little bit less EBITDA than what you're contributing, but the net $5 billion of proceeds after cash, it's roughly similar in the neighborhood of $3 of incremental value creation that we saw this morning. So I guess my question would be, is that kind of the right way to think about how we should be thinking about valuating the transaction? And then also just connected to that in terms of cash flow with this business going into JV, just what’s the mechanism for the JV to kick the cash flow back to Mondelēz? Thank you.
Dave Brearton: Yes, I think on the valuation, if you look at it in a lot ways, I mean [carefully] we're putting in our business and so it's more about the upside of the two businesses combined that’s going to generate the value for this business. I don't think -- it’s just kind of complicated when you saw joint ventures I don't think we'll get into that. But I think you’ve seen the multiple that D.E Master Blenders was purchase at and I think clearly that was one other consideration as we put our business into that. In terms of cash flow, today the coffee cash flow obviously is part of our ongoing free cash flow and as Irene mentioned OI margin is above the average of our business, so it’s pretty healthy cash flow. That we obviously lose. We’re going to pick up $5 billion upfront and then the ongoing cash flow will come from dividends. And actually we filed an 8-K this morning along with the press release and you can see the dividend specifics in there. But it’s a relatively fixed amount for the first three years and then it’s tied to net operating profit thereafter. So, we’ll get a dividend instead of the ongoing cash flow of our business. Clearly that will be a lower number in aggregate but we get $5 billion upfront in cash.
Dexter Congbalay: Operator, get the next question please.
Operator: Your next question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar - Barclays: Should we expect -- I guess on slide 12 you show the impact form the coffee transaction. First off, I assume that’s the impact of stranded overheads and if so, it looks like you expect these accelerated cost saves ZBB and such will more than cover those overheads by ‘16 but would we expect this to be a linear path or to margin need to take a step back in ‘15 when your stranded costs come out and then get immediately offset by the incremental savings?
Dave Brearton: Yes. I think when you look at that page, the red bar there, it isn’t so much about stranded overheads; it’s just that as Irene mentioned earlier the OI margin on coffee is higher than the Mondelēz average. So it has a small decrement to our average OI margin. I think the stranded overhead piece is actually quite small. Most of the people in the overheads that are associated with our coffee business today will transfer over to the new company. There will be some stranded overheads but it’s relatively small and it would be taken out through the restructuring program that we’ve talked about today as well. As it relates to 2015 margins, we didn’t give you a margin target for 2015 today, mostly because it’s going to be tied largely to the timing of the closing of coffee transaction, the progress we make on the work councils and union discussions. But this year, we’ll be in the high 12s in our OI margin. In 2016, we’ll be between ‘15 and ‘16. And we’d expect to make measurable progress towards that 2016 goal next year. So, it’s hard for me to give you guidance specifically on 2015 given some of the timings things that I can’t predict today but we’ll make measurable progress.
Andrew Lazar - Barclays: That’s really helpful. And then the one thing that surprises me I guess about your comment about stranded overhead is, that was always one of the -- I think one of the reasons that was always given as to why it was important that coffee and grocery I guess to the extent be part of Mondelēz for that scale impact and recovering of fixed and such in some of the European region. And so, I guess I would have thought by parting with that there would be a bigger headwind to cover from that. And I think in certain markets like Russia, if I am not mistaking, you can kind of go to market between coffee and chocolate kind of on the similar system. So I guess just a little clarity on that would be helpful.
Dave Brearton: Yes, I think it’s really because of the structure of the transaction we’ve talked about today. As we create the new company, the two businesses are highly complementary but aren’t that many countries where we have major overlaps. So in a place like Russia, we’re going to be carving out a coffee sales force for the new company and providing that to the new company. So that’s the biggest difference from what you would have expected from the sale transaction because it’s the new company that we’re partnering with, we can contribute most of the people and the overheads and cash to that new company. And because it’s largely complementary in terms of geography, it’s -- they’re going to need most of those costs. So that’s really what’s different versus the historical factors as we have had. But you’re right, a lot of the countries have combined sales forces today, so that’s an exercise we need to go through over the next years.
Andrew Lazar - Barclays: Okay, that’s helpful, thank you.
Operator: Your next question comes from the line of Chris Growe with Stifel.
Chris Growe - Stifel: Hi, good morning.
Dave Brearton: Good morning, Chris.
Chris Growe - Stifel: Hi. I had just a follow up on the interest question. I had a question regarding the -- looking at scale little differently and that is scale at retail and how that taken away the coffee asset speed in Europe or even Eastern Europe we have an effect on your growth profile with European call grocery business, do you see any effect from losing this business in that regard?
Irene Rosenfeld: We actually see the opportunity because coffee is much more of a center of store kind of item and our snacking business tends to be more front-end and imports driven, we actually see the opportunity to focus for respective selling organizations on what they do best. It’s not unlike the kind of thinking we had as we put the North American grocery business up. So we actually are looking for these new selling organizations to be a lot more focused on their respective categories and actually we believe that will help to drive growth.
Chris Growe - Stifel: Okay. And then just a follow up question on revenue growth, as you look at revenues for the year, the plus 3%, have you considered a higher degree of price realization coming through to support that growth? And are there any pricing [exercise] taken as some, as you said there may be some short term challenges with market share, but anywhere we are seeing these challenges getting to pricing as you expected earlier in the year?
Dave Brearton: Yes, the revenue growth we have given was essentially [pricing] category growth rate, I think both are revenue and the category will reflect a lot more pricing this year and probably a lot more -- a lot less volume mix growth. So that’s difficult when you have price taken increases. In terms of the pricing so far, it’s a bit early to tell, we are putting a lot of the pricing in emerging markets early in the first quarter. And as I mentioned a few minutes ago, competitors some have followed, some have not. But I think its common into industry, I would expect it to come through. Europe is a little bit later, because it takes a while to negotiate the price increases with the trade in Europe. So, we're not going to see the full benefit of that come through until Q2. So, it's a bit early to tell, but I think historically when we've had commodity increases that are common to industry, we've been able to price away those costs. And so I would expect that it will come through as we're planning this year.
Chris Growe - Stifel: Okay. Thank you.
Operator: Your next question comes from the line of David Palmer with RBC Capital Markets.
David Palmer - RBC Capital Markets: Congratulation. You mentioned revenue growth of 3% for the year, which is close to the growth rate of the first quarter. That first quarter includes a point drag however from Easter and coffee deflation which are factors that when we think will reverse in Q2 or at least Q3 in the case of coffee prices. Are you seeing a slowdown in your base business or actually anticipating disruption from the restructuring as you think about that 3%?
Dave Brearton: I think it is -- you are correct, the first quarter had 40 basis points of an Easter impact and about 60 basis points of coffee. I think the coffee we expect to continue in the second quarter. I think the -- we did say, we would expect some positive bounce in as coffee goes from being a headwind to potentially even a tailwind in the back half. But I think the flip side of that is as you mentioned, there could be some disruption from some of the strategic initiatives we put in place. And frankly, we're just being prudent. The category has grown over the last two quarters now around 3%. And so we felt it was prudent to not count on a terrific turnaround and to plan on that for the balance of the quarter. So, it's not just a quarter one comment, it's been six months now of about 3% category growth.
David Palmer - RBC Capital Markets: And how much of your business will be Europe pre and post the deal? Thank you.
Irene Rosenfeld: It’s down about 1 or 2 percentage point there in that if you look at the configuration post transaction close.
David Palmer - RBC Capital Markets: Thank you very much.
Operator: Your next question comes from the line of Matthew Grainger with Morgan Stanley.
Matthew Grainger - Morgan Stanley: Just a follow-up on the questions on revenue growth. I know it's difficult to pull out the crystal ball on this, but how confident are you that you'll see some recovery in category trends in 2015 and beyond? And just as you're thinking about prospects for EPS growth given your new margin targets, are you assuming a gradual recovery back to 4% to 5% or sales growth or thinking about this, the new run rate?
Irene Rosenfeld: That’s one of the reasons we took the actions that we announced today is to ensure that despite what happens on our top-line even if trends continue with the same rate that we have great confidence that we can deliver on the margin target and therefore on our EPS commitments.
Matthew Grainger - Morgan Stanley: Okay, thanks. And Dave, you spoke to the cash costs, the restructuring program being largely front loaded during the first two years. Just as we're thinking about the phasing of cost savings and the potential for margin expansion beyond 2016, can you give us a rough sense of what portion of the $1.5 billion in restructuring savings should be realized by 2016?
Dave Brearton: I think it will flow through pretty steadily. The upfront yeas will be more overhead less supply chain, the later years will be more supply chain, because that takes a little longer to get underway. So, I don't think you'll see a massive skew. I wouldn't expect a huge impact this year though.
Matthew Grainger - Morgan Stanley: Okay. And just as we’re thinking about the margin progression again for those out years, is there any degree of expected base margin expansion that’s now just being pulled forward in a way that would moderate the margin prospects for those latter two years?
Dave Brearton: I think we haven’t given a specific margin target beyond 2016, mostly because it’s quite away from now. But we have said we’ll be 15% to 16% in 2016 as an OI margin and the savings that are going to come beyond that in 2017 and ‘18 should allow us to continue to make margin progress in ‘17 and ‘18. And obviously we’ll continue to invest in our businesses just to drive growth while we are doing all of that through that entire prior period.
Matthew Grainger - Morgan Stanley: Alright, thank you.
Operator: Your next question comes from the line of Eric Katzman with Deutsche Bank.
Eric Katzman - Deutsche Bank: Good morning everybody.
Dave Brearton: Good morning, Eric.
Eric Katzman - Deutsche Bank: I guess just first on the coffee if I could ask a question, you noticed, knowing that it’s high teens margins but that’s drawing a very low cyclical point in coffee cost, so kind of what is more of a normalized coffee margin for the business?
Dave Brearton: I think you have to define what normal coffee costs are. I think 1.20 two months ago was actually not far off the 10 year average, 2 bucks is obviously pretty high and you are absolutely correct though the revenue creates a bigger denominator if green coffee goes up and reduce that margin. But I think it has been historically pretty consistently higher OI margin than the rest of our business.
Irene Rosenfeld: That’s also been particularly true Eric as we shifted from roast and ground business, predominantly roast and ground business more into on demand and soluble and that’s been a trend that has been improving over the last couple of years as we have made those investments in (inaudible) for example.
Eric Katzman - Deutsche Bank: Okay. And then more about kind of the restructuring, maybe following up a little bit on Matt’s question. I guess Irene, followed you for a long time at Craft and now Mondelēz, I mean there is just you’ve made a lot of well received strategic rules, but I would say that so much restructuring so much cash leaving really historically has it led to great fundamental performance. This was [growthco] 18 months ago and the top-line target has now taken a complete back seat. So if I was working in Mondelēz I would be kind of wondering what are my targets. I used to be let’s say recruited here to be a brand manager with growth and now it’s all about cost savings and ZBB. So I guess as we kind of go through this next iteration of change in restructuring like what how do you keep people like focused or motivated and how disruption are you, do you think is going to occur from so much going on within the company?
Irene Rosenfeld: Eric I think you make a fair observation. I would remind you as you know our last restructuring program was in 2004 and 2008. We did deliver the targeted savings under that program but we had a business that was severely in need of reinvestment at that time. And if you recall in 2006 our shares were declining our product quality was not where it needed to be, we didn’t have an innovation pipeline. So we did reinvest most of our savings back into the business and quite frankly I would argue we have created some great value on a number of those businesses which allowed us a lot of this put off to North American grocery business and create great value for shareholders. At this point though we’re in a very different position. Our shares have now been consistently positive for a couple of years. We’ve got our investments up to where we need them to be on our snacking businesses and I have great confidence that the savings that we have laid out, you will see reflected in our P&L and exactly made the commitments today to take up the bottom end of our rates over these next couple of years and as we have said we actually see some additional upside beyond that as a consequence of the investments. With respect to how should employees react, there is a lot to absorb here, there is no question about that but our employees are committed to creating this global snacking power house that we will leave in the market place and it is clear that as the environment has changed in large measure, it was imperative that we take appropriate actions to address some of the inefficiencies in our cost structure while continuing to drive growth, if anything the number of the actions that we are describing today will certainly help our margins but will also give us the fuel to reinvest in growth. So I actually don’t take an inconsistent message, we continue to outperform our peers in most markets around the world, it’s just a more challenging environment so I think we all had imagined as we created this company 18 months ago, but net-net I have great confidence that the actions that we are taking today will make us a stronger company and increase confidence in our ability to deliver top tier financial results.
Eric Katzman - Deutsche Bank: Thanks. I will pass it on. Good luck.
Irene Rosenfeld: Thank you.
Operator: Your next question comes from the line of Ken Goldman with JPMorgan.
Ken Goldman - JPMorgan: Hey, thanks for the question. Dave I don’t think you addressed this, forgive me if you did. Can you help us to understand how much net debt the new coffee-co had on its balance sheet? I am asking just because if we are trying to model the improvement in your non-controlling interest, I guess we want better understand to how much interest expense that entity will have. So is it fair to assume [BE] will finance the $5 billion with all debt, how much legacy interest expense of debt do they have, just curious for any color you can help with there. Thanks
Dave Brearton: Yes. I don't want to get too much into the financing of the new company. But if you look at the 8-K we issued today. I have highlighted that we're taking out 4 billion euros which is the $5 billion we referred to. And the [JAB] folks are talking out €2.5 billion and I think any all the financing of that would be in the new company, it will be nothing at our level or above that.
Ken Goldman - JPMorgan: Okay. Thank you.
Operator: Your next question comes from the line of David Driscoll with Citi Research
Unidentified Analyst: (Inaudible) and with few questions on behalf of David. Hello?
Dave Brearton: Go ahead.
Unidentified Analyst: Okay, great. Just wanted to know if you could give us what's the combined pro forma EBITDA for the new coffee business will be? And then going forward what type of, what level of cost synergies do you think will be able to be achieved by combining the businesses?
Dave Brearton: Yes, I think as we said today, we think the new company will have margins in the high teens on the EBITDA level, we haven't given any cost synergy numbers. I think I would say that some of the excitement of this business is that it’s highly complementary both in technology as well as geographic platforms in brand. So, I would say the revenue synergies frankly are as exciting of any cost synergies that could come out of it. And as I mentioned earlier, on line of the countries that our business is in, they are not and vice-versa So, I think this is as much about being a global pure play coffee company as it is about traditional synergies.
Unidentified Analyst: And so on your kind of accretion analysis and innings of that accretion in the first full year, you are saying there is not much in a way of cost synergies kind of baked into that projection?
Dave Brearton: I would say that I'm not going to get into specifics of the new company's business plan, but I would say that as we talk about accretion of the first full year that reflects the cash we received and assuming the majority of that cash goes to buy back shares with a substantial portion potentially for debt pay down as well. So, I think that's more driver and the fact that we will be consolidating 49% of the net income of the company as minority interest position within our earnings per share number. So that's way that really comes from.
Unidentified Analyst: Okay. And one last thing on chocolate, can you just talk a little bit about the range of price increases that you’ve taken and just kind of generally how well have they have been excepted thus far?
Dave Brearton: It varies a lot. I mean in Europe obviously the pricing to recover the cocoa and dairy cost and most recently not costs. And those costs, those price increases were negotiated in the first quarter and we've got those lined up, but they really didn't impact our revenue until late in March. So you'll see those kind of flow through in the second quarter. I really don't want to get into net price increases, because frankly that gets into trade deals and other things. In the emerging market is much higher, because not only a recovery in cocoa and dairy, we’re also cutting the currency impact in most of those countries. So you're looking at price increases in emerging markets anywhere from high single-digits to mid-teens it depends on the country. So it's fairly significant in emerging market. Those mostly were put in place in the first quarter and they're playing through and I would expect that those are on the shelf in most of those countries obviously that are there today.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line of Jason English with Goldman Sachs.
Jason English - Goldman Sachs: A couple of quick housekeeping questions on the coffee transaction. The dividend income stream that you disclosed in the 8-K, the split between Acorn and you, should we use the same ratio as the cash distribution?
Dave Brearton: I would use the same ratio of the ownership of the future company.
Jason English - Goldman Sachs: Okay. That’s helpful. Timing wise some time in 2015 it sounds like you are pretty confident in terms of regulatory approval, why such a protracted timeline?
Dave Brearton: It’s not just regulatory approval, it’s also the works council consultations that we need to go through in Europe. So as with any transaction like this, you need to consult with the works councils and you need to complete those consultations before you can close the transaction on the case of absence where you can actually accept the offer. So there is a process we need to follow. We went through the same process when we bought the biscuit business from the Danone. So we understand that process pretty well. And it’s just a question of timing. So it will be sometime in the course of 2015 and that’s why we have been a bit reluctant to give a specific guidance for next year and we have really focused on this year in 2016.
Jason English - Goldman Sachs: Got it, that’s helpful. And one last question, back to fundamentals. Looking at slide 16 where you showed geographic your share performance, great share performance in the developed markets, a relatively soft performance across each region of emerging markets. Can you give us some more color on what’s driving that share weakness and on a forward what you expect and why?
Dave Brearton: Yes, I think if you go back over the last two years we have been pretty consistently strong and shares across all other region. So this is an aberration, but as I mentioned a few minutes ago, we took pricing in the first quarter and in most of those markets we are the price leader. And so we have priced to recover commodity and ForEx impacts within our cost. And we’ve successfully done that through. Some of our competitors are lagging those price increases. But in the end these are all common to industry cost increases. So I would be surprised if they don’t eventually come up. So I would expect that to normalize. It’s fairly typical when we are in the price increase environment; price leader takes a bit of it after the first few months.
Jason English - Goldman Sachs: Got it, makes sense. Thanks a lot guys, I will pass it on.
Operator: Your next question comes from the line of Ken Zaslow with BMO Capital Markets.
Ken Zaslow - BMO Capital Markets: Hi everyone.
Irene Rosenfeld: Hi Ken.
Dave Brearton: Good morning.
Ken Zaslow - BMO Capital Markets: I have just a big picture, what was the catalyst to push you to reevaluate the extent of your margin structure. I mean you guys have been looking at the portfolio for some time, what pushed you to do this mix restructuring effort?
Irene Rosenfeld: Well, as our global categories have slowed down particularly in the emerging markets, the need to drive best-in-class cost becomes that much more important for us to deliver on our bottom-line commitments. And so we’ve been talking about that for quite some time now. Obviously there was a big subject of discussion with our Board at our strategic plan last summer. And we’ve been working on a number of these initiatives. We shared with you the early thinking on supply chain, at back-to-school we talked to you about some of the work that we were just beginning on zero-based budgeting with respect to overhead at -- and what we’ve announced today essentially reflects the combination of those activities. Obviously the coffee transaction is something that was happening concurrent with the number of these other thoughts, but they’re highly interrelated and that’s why we have great confidence that as we take these actions together that we will be able to drive additional margin expansion sooner, while still continuing to support our franchises.
Ken Zaslow - BMO Capital Markets: Would you expect to have anymore additional actions to be taken in terms of it is a portfolio refinement or even another level deeper into cost not at this coffee structuring is not excellent I don’t want to minimize that and the effort there. But is there I mean as you get deeper and deeper in this, do you think this ball is going to keep on rolling in terms of portfolio refinement and cost restructuring?
Irene Rosenfeld: I think the cost piece of it we’re committing to approximately 300 to 400 basis points improvement over these next three years, that’s a fairly substantial commitment that we’re making on the margin front and we’ve got some very strong programs behind that. We’ll continue to push as aggressively as we can, but I think the target that we’ve laid out are quite aggressive. And as we suggested, we see the opportunities as we make some of our supply chain investments to help accelerate our delivery there. That will have some benefits beyond 2016. So I think the commitments we have made today are quite aggressive. At the same time from a portfolio standpoint, this coffee transaction was a unique opportunity to create the world’s largest pure play coffee company, and we believe we have accomplished that by creating great value for both partners and creating good value for our shareholders, both today and then looking into the future. So we feel quite pleased with the overall implications of the transactions and as well as the actions that we’ve announced today.
Ken Zaslow - BMO Capital Markets: Great, I appreciate it. Thank you very much.
Operator: Your next question comes from the line of Alexia Howard from Sanford Bernstein.
Alexia Howard - Sanford Bernstein: Can I ask about -- two quick questions. Does your emerging market exposure that I think is 40% today change out after this coffee deal. The second one is does the 15% to 16% margin goal by 2016 still stands even after the coffee is excluded from consolidated earnings? And then finally, just following up on Ken’s question. Could you imagine structuring a similar deal for the cheese and grocery to business which seems even less strategic than the coffee business? Thank you very much?
Irene Rosenfeld: So Alexia, our emerging market business will still be about 40% of the portfolio after the transaction. The second question was…
Dave Brearton: The margin, the 15% to 16% margin already takes out coffee, so there is a small coffee decrement that goes in there because coffee has higher margins the rest of portfolio but that’s more than aid up by the savings on the restructuring program.
Irene Rosenfeld: And then the last question on the portfolio, as I said coffee is a very unique opportunity for us to create value and we are not going to get into any other hypothetical at this point in time.
Alexia Howard - Sanford Bernstein: Great. Thank you very much. I'll pass it on.
Operator: Your next question comes from the line of John Bumgarner with Wells Fargo.
John Bumgarner - Wells Fargo: Irene, in the absence of seeing some reinvestment in this coffee proceeds, it’s to route to market and wide space growth, how do you see the return on investment as global category growth is slowed; have returns deteriorated at all or how are you thinking about developing markets reinvestment going forward? Thanks.
Irene Rosenfeld: Well, I think we've seen some -- a number of good returns on the investments that we made particularly in a number of our markets last year as we thought at that time, we make some investments in route to market in Brazil, in Russia and in India and we've seen great paybacks there. But one place we saw less of a return, has been in China and as we talked, we have pulled back quite a bit from some of those investments. So, we continue to look at these markets on a pay as you go basis. We're monitoring whether or not, we're getting the return as we make investments in areas like route to market. But we have a strong desire to make sure that we are creating the necessary investments in our infrastructure to enable us to benefit as the markets recover. So, I think we've got the right balance here between continuing to make investments that deliver attractive returns while ensuring showing that we're not overinvesting if the markets are not responding as well. So, we keep a very close eye on that.
John Bumgarner - Wells Fargo: Okay. Thanks Irene.
Operator: Your final question comes from the line of Rob Dickerson with Consumer Edge Research.
Rob Dickerson - Consumer Edge Research: First question is just I'm curious, I know JV I believe also and to keep comparable in the U.S. And I just can't remember, when you spun -- when you split Mondelēz in Kraft Foods, is there any agreement in place such that you can or can’t operate in Kraft market? I'm just asking just of chance three years, four years kind of wherever you could find that the U.S. is actually very attractive coffee market, are you allowed to sell coffee in U.S.?
Irene Rosenfeld: We are not precluding for selling coffee in the U.S.
Rob Dickerson - Consumer Edge Research: Okay, perfect. Thanks. And then second, when JV purchased D.E Master Blenders, D.E Master Blenders was obviously spun from Sara Lee. There was a great story behind it. As they sort of kind of work through their strategy upfront before JV bought them, they found themselves actually kind of facing a bit of pressure, mostly on the top-line but then some of the margin estimates came under question et cetera. JV decided this job of being able to purchase the asset but considered potentially trough margins and earnings. Now that you're working with JV kind of post purchasing D.E Master Blenders have like what have you -- I'm not sure if you can provide any color on this. But have you seen that their strategy with the business before the JV with you and then accurate is really more cost focus -- cost saving focused or is this something that we should be thinking as sort of another phase of growth co or and cost co or is it more of a cost savings opportunity? Thanks.
Irene Rosenfeld: As you can imagine, we are in a position to be able to make a lot of statements about the combined company going forward. But I will tell you, as I think our approaches to the business are quite well aligned and that's why we see great opportunity and we're pleased to have a 49% of the combined company going forward.
Rob Dickerson - Consumer Edge Research: Okay. Fair enough. Thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to management.
Dexter Congbalay: Hi, this is Dexter. Nick and I will be around for the rest of the day to answer any questions you might have. Other than that, thank you all for joining the call and we will talk to you later.